Antje Kelbert: Good morning, and welcome to our Q3 and 9-month update call for HORNBACH Holding. My name is Antje Kelbert, Head of Investor Relations. Earlier today, at 7:00 a.m., we published our financial results for the first 9 months of fiscal year 2025-'26, covering the period from 1st of March until the end of November 2025. During today's call, we would like to give you additional insight into our final financial figures following our pre-release on 5th of December. I extend my warmest welcome to our CFO, Dr. Joanna Kowalska, who will be your host today, presenting our latest set of numbers. After the presentation, we will take your questions. Please note that this conference call, including the Q&A session will be recorded and made available along with a transcript on our company website. Kindly also take note of the disclaimer, which applies to the entire presentation and the Q&A session. [Operator Instructions]. With that, I'm delighted to hand over to Joanna to walk us through the key developments of our first 9 months of this year. Over to you, Joanna.
Joanna Kowalska: Good morning, everyone, and thank you, Antje, for the kind introduction and warm welcome. It's a pleasure to be here again talking to you about our results. Before we get to the details, I'd just like to take a moment to talk about the context of the macro environment and retail background to these quarterly figures. Customer sentiment has been dense all year, especially in Germany, but also in other regions. At times, GDP growth rates and expectations remain moderate to low. And against this backdrop, we have stayed focused on creating value for our shareholders. Overall, we believe the last 9 months has been positive against the challenging customer environment I have outlined. So to the results, which I'm sure you have all seen, HORNBACH Group net sales reached EUR 5.1 billion, an increase of 3.8% from last year. Our Baumarkt subgroup grew sales by 4%, gaining market share in Germany and across Europe. This was driven by higher customer footfall. We continue to outperform the DIY sector in terms of like-for-like sales growth. The DIY sector in Germany saw significantly weaker figures from January to November compared to our results. This is based on data of the industry association, BHB. Additional market research data proved that also in other countries, we at least match or beat the overall sector performance. We opened 4 new stores and continue to invest in future growth. We remain committed to our expansion plans. And as a consequence, higher CapEx is reflected in our free cash flow. Gross profit increased by 4.1% or EUR 72 million. This resulted in a stable gross margin of 34.7%. Adjusted EBIT for 9 months was about EUR 300 million, matching last year's level. And now let's have a look at our Q3 performance. Here, net sales increased by 2.2%, and we were hoping for a stronger top line and consequently a higher quarterly result. However, against the current environment with subdued customer sentiment, we managed to outperform the DIY industry also in Q3. Once again, it helped us gain market share. While we achieved top line growth and maintain a satisfying gross margin, we are not able to fully offset increased costs and thus, adjusted EBIT came in EUR 7.3 million below last year's numbers. Looking at the remainder of this year, the full-year outlook remains unchanged, and we expect adjusted EBIT to be at the level of the previous year. Before we dive deeper into financials, let me highlight some operational achievements which underline our strategy to deliver organic growth. Looking back at the past 9 months, we have achieved remarkable expansion progress. We opened 4 new stores, representing around 70,000 square meters of selling space. In March, we enlarged our German store network. Our great flagship store in Duisburg showcases state-of-the-art home improvement retail. Over the course of the third quarter, we continued our international expansion and opened 3 new mega stores, 2 in Romania and 1 in Austria. In addition, there has been the opening of the new specialist store in November. We transformed an existing HORNBACH store in Mainz-Kastel in Germany into BODENHAUS concept. Located at the prime location, the third BODENHAUS store offered an outstanding selection of hard flooring products to our customers. Our expansion comes along with 400 new colleagues in these stores and being a big box player, additional stores are also related with an uptick in inventory. I will refer to the increase of personnel and other costs later in the presentation. These recent openings are part of HORNBACH's strong track record of organic growth. As you might already know, we have entered a new market in Serbia. Before we go into those details, let's have a look at our consistent expansion. Starting in 1968, we opened the first integrated DIY store in West Germany. Besides entering former East Germany, we also grew international expansion and laid the foundation of today's European footprint. Between 1996 and 2007, 8 countries throughout Europe became HORNBACH region. After that, we rolled out our online shops in all regions. We have always been willing to take bold steps and innovate while honoring our tradition. Our approach is clear. First, we identify markets with strong home improvement potential. Then we secure attractive location with synergy potential and large catchment area. And finally, we build a network of project-oriented DIY stores and online shops. This strategy has made us successful in the past, and we believe that is our recipe for the success also in the future. And by entering Serbia, we aim to unlock attractive growth opportunities. The Serbia DIY market has similar characteristics to our existing market and provides us with good opportunities for growth. Our proven strategy will guide us. Clear focus on large state-of-the-art DIY stores with a project-based approach. We see here potential for 6 to 8 large store formats. And as you see on the slide, we believe the country offers excellent conditions for our concepts. This creates an opportunity for us to gain significant market share. We have already secured attractive locations. And for each location, we plan to invest between EUR 25 million and EUR 40 million. We expect the first store to open no earlier than the end of 2027. We are very excited to follow our expansion path and continue our success story in this new HORNBACH region. And now let us have a look at the recent figures for the reporting period. As already mentioned, group sales rose by 3.8% in the first 9 months. This was supported by a strong spring, a solid summer and followed by a mixed third quarter. The HORNBACH Baumarkt subgroup grew by 4%. Germany delivered 2.1% growth, while international operation achieved 5.8%. Customer frequency increased by 2.8%, and the average ticket also saw a slight rise. As you can see, after 2 years of weaker sales development, we have now returned to growth. Considering the challenging customer climate and weak industry trends, we are pleased with this result. Let's briefly review the HORNBACH Baustoff Union, our subgroup focused on professional construction customers. Here, as you can see, sales declined slightly by 1.4%. However, we believe the construction sector in Germany will pick up again next year. Recent official statistics show a modest improvement in order intake and building permits. How is the regional split of our sales? More than half of the sales now come from the European countries outside Germany. This represents an increase of about 1 percentage point year-on-year. Let's now have a look at like-for-like sales development. So for the first 9 months, like-for-like sales rose by 2.6%, exceeding last year's results. Germany recorded 0.7% growth. Here, we outperformed the German DIY sector in every single month. Other European countries grew 4.3% on a like-for-like basis. The Netherlands and Sweden were strong with nearly 10% and 4% growth, respectively. Q3, on the other hand, showed a mixed performance. Regions such as Netherlands, Sweden, Switzerland and Luxembourg have remained on a growth path. Other regions faced challenges. This includes, for example, extreme weather conditions or purchasing power decreases. Group-wide, we have seen a calendar effect of roughly 1 business day less in the last 9 months. In Q3, there were no differences in business days. Overall, we were mostly matching or even outperforming the DIY sector as confirmed by BHB and GfK data. Moving on to market share. We are focused on strengthening our position across Europe. Throughout the year, we expanded our footprint in all HORNBACH countries with available market share data. Let's have a look at the map. In Germany, our largest market, our share rose to 15.7%, up 0.6 percentage points from last year, a great result in a highly competitive market. In the Netherlands, positive footfall helped to bring our market share to 29.1%. In Czechia, we increased our market share to almost 40%, maintaining strong momentum. Also, Austria and Switzerland also experienced growth, a strong track record that underlines our position and strategy. With our assortment competency, outstanding prices and service offerings, we can best serve our customers. And a big thank you to all our colleagues on the sales floor who help make this happen. And now to our e-commerce business, which again performed well. Customer engagement on our integrated platforms continues to grow. This confirms their status as established key sales channels. E-commerce accounted for 12.9% of total sales in the last 9 months and is growing. Sales rose by 8.1%, driven by strong growth in the first 6 months and a solid performance in Q3. Both Direct delivery and Click & Collect grew by about 8% each. Let's now have a look at our P&L. Gross margin was slightly higher than last year and amounted to 34.7%. Our gross margin rose by 4.1%, slightly ahead of the net sales growth of 3.8%. This was supported by a profitable product mix and innovative assortment and positive purchase price effects. Let us now turn to expenses development. As you can see on the right side of the slide, selling and store expenses rose in absolute terms, but the expense ratio was nearly stable despite higher wages and new stores. Preopening costs increased by EUR 6 million due to our expansion activities. We also worked on our IT infrastructure, which resulted in higher costs. This is important for future proofing the business. Our efforts will contribute to overall efficiency and improved working capital management. It's also reflected in our general and administrative expenses. They went up by 0.2 percentage points as a share of sales, mainly due to wage increases and IT improvements. Personnel costs for the first 9 months totaled EUR 871 million, an increase of 4.9%. This increase was in line with our expectations and driven by wage increases, but also staff for new stores. We partially mitigated this cost increase by adjusting headcount in our current store base. In Q3, personnel costs rose by around 3% as expected and communicated during our half year call. For Q4, we expect a similar development. All these factors led to a stable development of our adjusted EBIT, which we will see on the next slide. Adjusted EBIT after 9 months was at last year's level. As you may know, we had a very strong spring season and therefore, excellent results in Q1. Q2 was solid, but influenced by an increase of personnel costs. In Q3, the gross profit growth did not fully offset higher costs. Therefore, adjusted EBIT was about EUR 7 million below the prior year's quarter. As you can see on the right side of the slide, countries outside Germany delivered 68% of adjusted EBIT, a 5 percentage point increase year-over-year. There were no significant nonoperating items or adjustments in the first 9 months of 2025. So we maintain our original guidance for the full year adjusted EBIT to be on the last year level. Now let's review the cash flow statement. Operating cash flow increased year-on-year. This was mainly driven by lower cash outflow from working capital. We reduced the use of our reverse factoring program. Funds from operations remained steady compared to last year. Capital expenditure reached EUR 167 million, up from EUR 107 million last year. This reflects our strong commitment to organic growth. 57% of CapEx was invested in land and real estate, mainly for the new store development. The rest went into store conversions, equipment and software. Free cash flow after net CapEx and dividend came in at EUR 105 million, down from EUR 150 million last year, which reflects our consistent ongoing investments in expansion. So let's move on to the balance sheet, which is still strong. Total assets remained steady at EUR 4.6 billion compared to the year-end results in February. I would just like to share some comments on liabilities. In September, new promissory note loans were issued at the holding level. This replaced existing loans of Baumarkt level. The equity ratio rose to 47.1%, highlighting our solid financial standing. Net financial debt was lower than in February. As a result, the net financial debt-to-EBITDA ratio improved to x 2.5. Our balance sheet figures demonstrate the strength of our financial base and the resilience of our business model. Let us now have a look at our guidance. We confirm our guidance issued in May 2025. We continue to expect net sales to be at or slightly above the level of 2024-'25. Adjusted EBIT is expected to remain at the previous year's level. Reflecting our ongoing expansion strategy, we expect CapEx to reach up to EUR 230 million for this year. So solid growth, increased market share and stable EBIT despite the challenging conditions. And before moving to Q&A, I would just like to emphasize the long-term opportunities we see for HORNBACH. We are committed to price leadership and being a trusted partner for our customers. We're also committed to target investment in expansion and efficiency to help us maintain and grow our leading market positions in Europe. Therefore, we stay focused on creating value for our shareholders. And despite economic challenges, we see medium- and long-term growth opportunities in home improvement. We are pleased with the results in the first 9 months of the year, and I would like to thank all our teams who have made this achievement possible.
Antje Kelbert: So thank you, Joanna. [Operator Instructions]. I now hand over to Elba, our operator, to explain the technicalities of our Q&A session. Please go ahead.
Operator: [Operator Instructions] Our first question comes from Ben Thielmann from Berenberg.
Benjamin Thielmann: This is Ben from Berenberg. Can you hear me?
Joanna Kowalska: Ben, we can hear you.
Benjamin Thielmann: Okay. Perfect. Maybe one question from my side on the like-for-like growth you guys have seen in Europe, excluding Germany. I mean the first 9 months in Q3 was pretty strong. I mean, you grew by 1.3% in Q3. Last year, you did 3.5% already like-for-like. I was just wondering, can you give us some color what regions in Europe, excluding Germany, did particularly well? I remember that historically, Romania was particularly strong. Is there any big difference between the countries? Maybe some color what regions drove the growth in the first 9 months or in Q3?
Joanna Kowalska: Okay. Thank you, Ben, for your question. I'm happy to answer. So as you mentioned, we had some decreases in the Q3 in some countries. It was Romania. And we had there some budgetary adjustments in Romania, which affected the purchase power of the consumers. This was the reason why we had not so good performance in Romania in Q3. Nevertheless, it was really a temporary effect. It was just 1 quarter, and we are happy with the overall development in the 9 months, because we have then already increased our sales like-for-like in 9 months by 1.9%. Also other countries, as you can see on our slide, yes, with the like-for-like sales performance, you see Czech with 3.2%, yes. This was really also a onetime effect just in comparison to the last year, because in September 2024, we have flood in Czechia, which impacted our sales last year. And now, of course, we are happy that we have no flood in the country. But of course, it had impact on our sales in this quarter. Nevertheless, also Czechia, we are very satisfied with the development in the country. And as you can see, in the 9-month period, also Czechia is growing sales. And comparing also to the competitors, we increased our market share and the customers trust us.
Benjamin Thielmann: Okay. Perfect. And maybe one more question, if I may, would be on competitive landscape in Germany. I'm reading a lot about one of your competitors, the CEO had a newspaper statement 2 weeks ago, they're expanding a lot via new markets. You guys are opening 4 markets. But then I see one of your competitor, Hellweg, which is publicly disclosed, is closing roughly 20 stores in '25 and '26. And I was just wondering, is there any chance that this could be a positive tailwind for you guys? I mean the customers that usually go into those stores, the demand is not gone, they need to go into different stores when they are closing down. And I understand that the locations of your competitor stores are not necessarily the right location for you guys. But I was wondering, do you expect any positive market share development from your competitors further consolidating in the next 12 months? Is there maybe even a chance that you would take over some of their markets? I know you did it with Praktiker back then when they went bankrupt, which was a special situation, but any color on this dynamic would be very helpful.
Joanna Kowalska: Thank you, Ben, for your question. And it's a good one. Of course, we are tracking developments in our competitive landscape based on public knowledge and media coverage, of course. And as you mentioned, there are 2 issues on that. So we are always looking at opportunities to expand our store network. Also in Germany, we see chances there, especially because of the current market situation. But to be honest, currently, we are focusing on our expansion strategy. And as I explained during my presentation, we are willing to expand. Whether it will come from Hellweg or other, we have no plans at the moment. But nevertheless, we're continuously expanding and looking for the right locations. The second issue what you have mentioned today was the sales, which we can maybe use for us. And here, it's very difficult to judge. But obviously, we could take over somehow the sales and the customers. And we hope we will double, especially in the regions where we are not -- we have some white spots and -- yes, we hope. And movements in the market may also provide opportunities. And also our online store, which is growing and the customer trusts us. I hope, yes, we will try to use the opportunities.
Benjamin Thielmann: Okay. Perfect. I have a few more questions, but I'm going back into the line and giving some time for my colleagues.
Operator: The next question comes from Volker Bosse from Baader Bank.
Volker Bosse: I would have 2 questions, and I would like to start with Serbia, the new expansion country. If I got it right, for clarification, you said 6 to 8 stores is the potential which you see for your format in Serbia with the first store opening then in '27. How many store locations do you have already secured? You said something in the call, but I did not get it right, but perhaps you add that one by one?
Joanna Kowalska: Volker, thank you for the question. Serbia, we are happy about our entering in this market. We are highly optimistic about the prospect for the strong business development in Serbia and primarily for the reasons outlined in our presentation. And coming back to your questions, as I mentioned, we plan with 6 to 8 locations there. What we secured already now are 3, 4 stores at the moment. We see the potential is for 6 to 8, because it's really a great country with, yes, a lot of opportunities for us. And as you saw in my presentation, yes, there are really, yes, good chances for us, especially homeownership.
Volker Bosse: This brings me to the second question and a bit of outlook to '26. Of course, it's too early to give already concrete guidance on '26. It's more a general question. I would like to ask, first of all, number of store openings we can expect. I mean, there is a kind of lead time. So you have already started the project, which will be finalized next year, obviously. And also related to '26, how do you look at the consumer sentiment for '26 in general, especially also in the light of the infrastructure program, which is about to come in Germany. Do you expect this to change the mood for the overall building industry, construction industry, but also for the private households to spend more in renovation, et cetera, inspired by the infrastructure perhaps?
Joanna Kowalska: We are currently still in our planning phase. Therefore, we will release guidance for the upcoming fiscal year with our annual report as we have done this in the past. So far, we have seen a good start into the fourth quarter with a positive footfall development in most regions. However, of course, 1 month may not reflect the full quarter and especially not reflect the outlook for the next year. But we are of the opinion that for the building, the pickup is expected. So we see upward trend in the building permits about 15%, which is positive, and which is really something new considering the last year's development. So the 15%, yes, it's a good basis for us. And therefore, we look positive to the next year.
Volker Bosse: Okay. The 15% was on Germany, building permits increase in Germany year-over-year?
Joanna Kowalska: Yes, 15% in Germany, yes.
Operator: The next question comes from Thomas Maul from DZ Bank.
Thomas Maul: I've got 2. The first one, can you provide some information on the development of average basket size and footfall in your stores in Q3? And the second question, maybe you can comment a bit on your cost development. Have you actually started any measures to limit or to cut your cost base?
Joanna Kowalska: Thank you, Thomas, for the question. I will start with the first one about the customer footfall. And in Q3, we have increased our footfall by 1.7%. And also, we have what we said so was the slight higher average ticket, which is very good for us, of course. And the footfall increase in 9 months was about plus 2.8%, yes. And also there, the average ticket, having in mind the 9 months, we had slight average ticket growth. And your second question was about the cost. And I can understand where you are coming from, of course, especially having in mind our Q3 development. As I mentioned, yes, we are performing very good on the top line, and we saw the higher costs, especially in personnel costs. And of course, we always aim to reduce the costs and to manage this. But to be honest, these cost increases are in line with HORNBACH's strategy and growth agenda as well as the need to recruit and retain high-quality team members across our existing and new stores. Nearly 60% of our costs are personnel costs and the rise in expenses reflects here 2 elements. The first one is wage increases. This ensures our employees' incomes keep pace with inflation. In Q3, it was 3%. But also, and this is important, let's remember, we had the headcount growth, which is a natural consequence of our ongoing expansion program as we open new stores. And investing in our people is key to scaling our customer reach and continuing to deliver best-in-class service at every location to be committed to striking the right balance between invest and maintaining cost discipline. And for example, you're asking for a measure and how we manage this. So our investments in IT infrastructure, including the deployment of state-of-the-art software solution and AI are designated to unlock meaningful efficiency gains going forward. Of course, there is no directly impact in the next months. But nevertheless, our investments in this area will bring us bigger efficiency gains in the future. So the cost discipline is always our priority.
Operator: The next question comes from Miro Zuzak from JMS Invest.
Miro Zuzak: It's Miro from JMS Invest. I have a question regarding the store openings, the envisaged ones in Serbia. You mentioned EUR 25 million to EUR 40 million of CapEx per store. I understood if you want to open 7 to 8 stores in the upcoming future, can you please give us some picture on the CapEx level that we should put in our models then going forward, the annual CapEx figure? Would that go up?
Joanna Kowalska: Miro, thank you for the question. So as you can see already now, yes, we have higher CapEx this year, which results from our expansion. And the higher CapEx, of course, reflects our investment in the future growth strategy. And until now, we have only a small portion in this year for Serbia there. And in the next years, obviously, we will have an impact from Serbia. And in the next year, we will not open the stores, but we will have the first CapEx for Serbia there. As I mentioned, we secured 3 locations and some of the cost will be at the balance sheet already and some in the cost. As I mentioned in my presentation, we expect CapEx for each store amounting by EUR 25 million to EUR 40 million. But we have -- actually now, because of we only secured 3, 4 locations in the next years, I cannot really give you a very detailed information split for the next years.
Miro Zuzak: Can you maybe -- I mean you opened 4 stores this year already, leading to a higher CapEx versus last year. Would it first go down before it goes up again? Or will it remain at these elevated levels?
Joanna Kowalska: So regarding the run rate CapEx, we anticipate CapEx remaining elevated in the coming years as we continue to pursue our expansion strategy. And so this is not only about Serbia, but also, yes, we will expand also in the other countries. So the CapEx will not go down in the next year. It will be higher.
Antje Kelbert: Yes, Miro, you also see -- sorry, to add, so you also see things reflected in our CapEx, which is not directly converting into stores the year after or even 2 years after. There are a lot of changes in the line. You're securing your land banking things, you're looking for property. And until you start then really constructing and then it gets also in our preparation for a new store, it needs time. So there are a lot of different mixed things in our CapEx numbers that are not purely only Serbia, but in general, filling all those 5 gaps as Joanna has outlined.
Miro Zuzak: Okay. And a connected question to this one, because obviously, your stock is typically what people would consider a value stock. I mean it's like very low valuation, high free cash flow yield and so on. And if you put so much capital at work, probably there rise questions about economic value added and capital efficiency. Can you please elaborate your thinking about that? What's the level of cash returns or like returns on invested capital that you require to see from allocation in your planning at least in order to give a green light for a new project? And how do you think about that? What is your thinking about capital allocation and economic value added?
Antje Kelbert: Yes. So you know that on the one hand side, we stick to our dividend policy. This is one part of the allocation of our capital. We have there laid out a dividend policy. I'm pretty sure you know that we are at least on the level of last year, and we'll stick to that. And this is also part of our capital allocation. However, I think we also outlined that taking the opportunity of growth, especially entering a new market is something that does not occur each and every year. So we will have to take this opportunity. However, we are checking each and every of those locations. So you can be sure that we have calculation models that we calculate. And as a hurdle rate, we have our weighted average cost of capital that the stores should earn and contribute to the overall growth.
Joanna Kowalska: I think the important thing here is, of course, we expand, we invest in the new stores. And also, as you mentioned, of course, it brings the increase in inventories. But nevertheless, the important thing here is that we will continue to follow our dividend policy. So this means we will continue to pay the dividend each year at the last or on previous year's level.
Miro Zuzak: Okay. I have more questions, but I'll step back in the line and maybe come back later.
Operator: The next question comes from Ben Thielmann from Berenberg.
Benjamin Thielmann: This is Ben again. Maybe a follow-up on Miro's question on free cash flow. I was just wondering, there was a certain inventory ramp-up related to the new stores that you guys opened. And I was wondering whether you could guide us a little bit on Q4 in terms of inventory development. Was it something like a one-off effect that we have seen in the last couple of months related to the new stores, and working capital is going to normalize in Q4? And then maybe the same thing in terms of CapEx. You mentioned EUR 25 million to EUR 40 million per store. This is excluding inventories, right? These would be my 2 questions.
Joanna Kowalska: Thank you, Ben, for your question. I come to the last one. So it was all in, yes.
Benjamin Thielmann: Okay.
Joanna Kowalska: And coming back to your first question, yes, in our inventory amount, you see the new stores. And of course, if we open 4 stores, yes, the inventories, there is a rise there. Coming back to your question about the Q4 trend. Here, we do not open any store more. But nevertheless, we have to consider that we are preparing for the season. So the Q3 is usually connected to increase in inventories, yes, because then our spring season starts and we will build up the inventories for this season.
Benjamin Thielmann: Okay. And then maybe one last question, if I may, and then I'm going back into the line as well. I was just wondering, has there been any significant change in customer behavior, if I split them into, let's say, retail, that's me going into the store and then the professionals. Has there been any data points that you have seen in terms of frequencies or basket sizes that are encouraging, that maybe demand for your professionals indeed is picking up next year?
Joanna Kowalska: Ben, so we see -- the customer footfall, as I mentioned, is increasing. And also we see the slight average ticket is growing, and both in stores and also online, which help us in the top line. Sales from professional customers has been also growing stronger, even stronger than overall sales with the strongest growth in the building materials category. And the strongest customer growth has been in property management, building renovation, electrical installation and also general construction. Pro customers represent approximately 20% of our sales. And if they are growing, yes, it brings positive effect to our overall sales in the group. What may be also important for you to know, also our installation service sales performed well. This installation services still represent a small share of our total sales, but nevertheless, they show double-digit growth, which makes us happy.
Benjamin Thielmann: Okay. That is clear. And maybe one last question, if I may. One of your competitors, Obi, has announced that to improve the efficacies of their Click & Collect and Direct Delivery revenues, they're installing what they call electronic shelf labels, which is like an ESL, as we call it, and it's basically a digital price tag or like an automated price tag you put instead of a paper price tag. And I was wondering because if I look at the German industry, it's like you two and maybe Bauhaus that are doing particularly well in Click & Collect and in online revenues. And I was just wondering if you're doing any investments in that regard, that you're trying to fasten up delivery times? Is there anything that you have tested something like digital shelf labels as well? There are different types of store digitalization measures I read in the industry in the last 2 years. Any color on that would be very helpful.
Antje Kelbert: Yes. So I can take the one on the digital shelf labels. I think we have also done some pilots on that. And we came to the conclusion that, yes, it's not -- in each and every area, we cannot bring that. We have also a lot of selling space that is outside, so very cold or wet. So for our testing, we stick to the situation we currently have. But I think this is not that directly connected with the Click & Collect, because you know that online and offline we have the same prices. So this always has been the case, and we'll manage that, yes, the whole time, even without those digital labels. And I think we have outperformed when it comes to the Click & Collect. And in our interconnected retail, we did a very good job. We showed that we have increased there now once again, and we are pretty happy on that. There are always things you can optimize in those processes. We invest in being more digital in general. We invest in being more efficient. But I think the state-of-the-art is currently very good, but there's always a job to be done and you can always improve.
Operator: The following question comes from Miro Zuzak from JMS Invest.
Miro Zuzak: Just 2 quick ones. The first one regarding your adjustments. There have been very little adjustments this year so far like last year. In last year, in Q4, the adjustments were around EUR 17 million. From today's perspective, as we are already now in the fourth quarter, probably you have more visibility on that. What is the level of adjustments that we should envisage for the current year?
Joanna Kowalska: So the adjustments are non-operative effects from non-realization of expansion projects. And they were until now there, as you mentioned, only in a very small amount. And we have, at the moment, non-operative adjustments there. But what we have to consider for the Q4 as the impairment test. As you know, at the end of the year, we have to perform the impairment test, and this is not yet done, but we do not guide the figures.
Antje Kelbert: That's why we also focus on the adjusted number of the EBIT, because this is what we are adjusting in general. It's the biggest part.
Miro Zuzak: Okay. And the second one would be on the minorities. Typically, they were around 3% of the adjusted Baumarkt EBIT. And in Q3, it was really 0. Was it more like -- did you change anything in the ownership? So is there any change in minorities?
Antje Kelbert: No. We have -- there has been no changes.
Joanna Kowalska: No. No, no.
Antje Kelbert: Perhaps we can take that afterwards if this is a specific thing, because I'm not quite sure what you're pointing to. But just we take it after the call, Miro. Thank you. Yes. So I think it looks as if we have taken all the questions, and the one remaining we will take afterwards. So with that, I thank you, Joanna, for the valuable contribution today and for the call. For the new year, we have already scheduled some participation in capital market conferences, and we are hoping to see you there also in person and engage in a personal conversation with you. In addition, we will provide an initial glimpse on our full year figures, provide with more information then in our trading state in March on the 25th of March, and all our upcoming events and dates can be found on our Investor Relations website. And yes, as usual, if anything comes up afterwards, please do not hesitate to reach us out. So thank you very much for your interest this morning, and have a blessed Christmas season for all of you celebrating Christmas and a happy New Year. Thank you very much. Bye-bye.